Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Sprott Inc.'s 2025 Fourth Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, February 19, 2026. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking information and forward-looking statements within the meaning of applicable Canadian and U.S. securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations or material factors or assumptions applied in making forward-looking statements, please consult the MD&A for the quarter and Sprott's other filings with the Canadian and U.S. securities regulators. I will now turn the conference over to Mr. Whitney George. Please go ahead, Mr. George.
W. George: Thank you, operator. Good morning, everyone, and thanks for joining us today. On the call with me today is our CFO, Kevin Hibbert; and John Ciampaglia, CEO of Sprott Asset Management. Our 2025 fourth quarter results were released this morning and are available on our website, where you can also find the financial statements and MD&A. I'll start on Slide 4. In short, it was a banner year for Sprott in 2025. Our core positioning in precious metals and critical materials investments allowed us to navigate volatile market conditions and deliver outstanding results for our clients and our shareholders. Our AUM increased by $10.5 billion during the fourth quarter and closed the year at $59.6 billion, up $28.1 billion from December 31, 2024. Subsequent to year-end, our AUM has continued to grow by another $10.5 billion to reach $70.1 billion as of February 13, 2026. Investor interest in multiple different metals contributed to strong net sales in 2025, primarily in our exchange-listed products. Our ETF business has been on a growth trajectory since 2021 and accounted for more than $4.6 billion of our total AUM as of year-end. This business is off to a strong start in 2026 with [indiscernible] AUM now approaching $7 billion. Our Managed Equity and Private Strategies segments also delivered excellent results in 2025, generating more than $54 million in gross performance and carried interest fees. With that, I'll pass it over to Kevin for a look at our financial results. Kevin?
Kevin Hibbert: Thank you, Whitney, and good morning, everyone. I'll start on Slide 5, which provides a summary of our historical AUM. To Whitney's point, AUM finished the year at $59.6 billion, up 21% from $49.1 billion as at September 30, 2025, and was up 89% from $31.5 billion as at December 31, 2024. On a 3- and 12-month ended basis, we benefited from market value appreciation across the majority of our fund products and positive net inflows to our exchange-listed products. Subsequent to year-end, as at February 13, our AUM stood at $70.1 billion, up 18% from our December 31 AUM. Our performance subsequent to year-end was the result of $7.7 billion of market value appreciation and the $2.8 billion of net inflows primarily in our exchange-listed products. Slide 6 provides a brief look at our 3- and 12-month earnings. Net income this quarter was $28.7 million, up $17 million from $11.7 million over the same 3-month period last year. On a full year basis, our net income was $67.3 million, up $18.1 million from $49.3 million last year. Our net income performance was primarily due to market value appreciation and inflows to our precious metals physical trusts and carried interest and performance fee crystallizations in our Managed Equities and Private Strategies segment. These increases were partially offset by a change in accounting requirements brought on by our new cash-settled stock plan that took effect this year. As we mentioned in previous quarters, cash-settled stock plans like the one we implemented this year require the use of mark-to-market and graded vest accounting under IFRS 2, which creates the dual impact of accelerating the amount of vesting that occurs each period, and adding market volatility to each vesting amount. In our case, this nearly doubled the amount of RSUs, subject to the accounting expense methodology versus what will actually vest in the year. And at a time when our stock has appreciated 18% in the quarter and 132% on a full year basis. In contrast, in 2024, we had an equity-settled stock program that required each vest to be valued at the original grant date fair value on a constant basis over the amortization period. Moving forward, in 2026, there will be less amortization hitting our IFRS P&L relating to the 2025 3-year grants and less shares being added for our 2026 3-year grants. However, we do expect continued increases to our stock-based compensation expense on a comparative basis for at least the first half of 2026 since our stock did not begin the majority of its ascent until the summer of 2025. This means to the extent our stock price remains at current levels, the second half of 2026 should begin to produce lower period-over-period volatility as the trading range of SII in the second half of 2025 is a little closer to where we currently trade. Adjusted EBITDA, which excludes quarterly volatility from items like stock-based compensation and intermittent carried interest and performance fee crystallization, was $42 million for the quarter, up 88% from $22.4 million over the same 3-month period last year. And was $121 million on a full year basis, up 43% from $85.2 million earned last year. Adjusted EBITDA in the quarter and on a full year basis benefited from higher average AUM, on-market value appreciation I described previously and inflows to our precious metals physical trust and ETF. Finally, Slide 7 provides a few treasury and balance sheet management highlights. And as you can see, due to our improved earnings, our cash and liquidity profile strengthened this year and we raised our dividend by 33% in November. For more information on our revenues, expenses, net income, adjusted EBITDA and balance sheet metrics, you can refer to the supplemental information section of this presentation as well as our annual MD&A and financial statements filed earlier this morning. With that said, I'll pass things over to John.
John Ciampaglia: Thanks, Kevin, and good morning, everybody. Now just turning to Slide 8. Sprott has held a bullish thesis on most metals and miners for the past few years. Over the past 5, we've invested heavily in our team, made timely acquisitions, developed a broad suite of differentiated offerings that incorporate our knowledge and expertise and develop new partnerships to broaden our distribution reach. We think it's fair to say that the world is catching up with our view that we are in a new metals-driven commodity super cycle and capital is finally on the move. Investors are looking for new investment ideas where long-term fundamentals appear durable and compelling. In 2025, our physical trust fund suite generated significant growth with a 97% gain in AUM to $47 billion. Momentum continues with another $7 billion added year-to-date. As we've mentioned in the past, growing AUM and liquidity begets AUM and liquidity as ever larger institutions allocate to the sector. And price signals are bullish of the 6 metals we offer in physical form. Gold, silver, platinum and copper have all recently reached all-time highs, while uranium touched a 2-year high. Moving to the next slide, which is net flows into our physical trusts. We saw a record sales year in 2025. Flows in Q4 were very strong, and they've continued into January. Our gold, silver and uranium trusts accounted for the bulk of the flows, but I'd like to highlight an emerging contributor, which is our Physical Copper Trust. While sales in 2025 were modest at only $4 million that Copper Trust has already generated $54 million year-to-date as copper, as I mentioned, recently hit a new high. We recently received approval by the SEC to cross-list the trust on the NYSE Arca Exchange and subject to unitholder approval, we expect the Copper Trust to begin trading there in early Q2. Once listed, this will be the first physical copper fund to trade in the United States. Investor interest in copper is growing as copper's strategic role in electrification is becoming better understood, along with our copper mining ETFs, assets in our copper suite of funds now stands at approximately $800 million and 2 years ago to yesterday, our assets in the category were only $6 million. Moving to the next slide, which is our ETF suite. 2025 was a breakout year with a 94% gain in AUM. Assets have gained another astonishing 45% year-to-date as growing scale creates a flywheel effect. A few items to highlight over the past year to February 18, Sprott has 6 ETFs in the top 25 in performance out of over 4,000 U.S. listed non-levered ETFs. The Sprott Physical Silver miners and Physical Silver ETFs, NYSE Arca ticker SLVR has been a huge win for our investors and shareholders. SLVR surpassed $1 billion in assets in its first year of trading. This has been our fastest-growing ETF launch to date and illustrates the value of our brand, expertise and relationships. Flows into our copper mining ETFs are accelerating, driven by superior performance to our competitors. And finally, our relationship with HANetf, which is our European distribution partner, continues to grow and assets now stand at $650 million. Moving to Slide 11. Sales were solid in 2025 despite some outflows from our uranium mining ETFs in the second half of the year. Since the year-end, we've seen a sharp pickup in sales momentum with flows matching cumulative sales in all of 2022, '23 and '24. A number of our ETFs just achieved 3-year track records and highlight to investors that not all indexes are created equal. Our index construction focuses on pure-play companies, and utilizes a dynamic universe approach to provide a differentiated offering that is translating into superior investment results. For example, our critical materials ETF ticker SETM and our copper mining ETFs have outperformed their closest competitors since their inception dates. I'll now pass it over to Whitney to talk about Managed Equities.
W. George: Thank you, John. We'll move now to Slide 12 for a look at our Managed Equities segment. As I mentioned in my opening remarks, our managed equity strategies delivered strong performance in 2025 with AUM increasing by 97% during the year to $5.7 billion. Our flagship gold equity fund gained 18% in the fourth quarter and was up 148% on a full year basis, and some of our private partnerships did even better. Despite their strong performance, these strategies reported modest outflows in 2025. In the fourth quarter of '25, the sub-advisory agreement of our Silver Equities Fund was opportunistically terminated by our client despite being up 175% as of December 1. We continue to leverage our strengths in our investment team through our recently launched actively managed ETFs. The Sprott Active Gold and Silver Miners ETF and the Sprott Active Metals and Miners ETF continue to scale, with AUM reaching $202 million and $105 million, respectively. I'll turn now to our Private Strategies on Slide 13. There's not much we're allowed to say about Private Strategies. But what we can tell you is we continue to monitor and harvest investments in our second fund, lending fund. We're actively assessing new investment opportunities as we invest up our third lending fund, and we have a process of ongoing monitoring of portfolio investments in our streaming product. We're hopeful to be in a position sometime this year to be talking about our next one. Slide 14. I'll move to Slide 14 with some closing remarks. In summary, with our core strengths in precious metals and critical materials investments, well positioned for the current market conditions. For 2026, we expect more volatility in the markets, certainly, as we've seen recently. For example, in January, we experienced a very, very violent sell-off in precious metals following an exceptional run-up for gold and silver prices. In our view, this was a healthy and overdue technical correction triggered by speculative investors and algorithmic triggers while the fundamental drivers of the rally remain intact, I think it's an excellent opportunity for those who feel they've missed those rallies to have a better, more sensible reentry point. Demand for critical materials investments is growing. Governments are becoming increasingly involved in these markets to secure supply and reduce reliance on foreign sources, and we expect this trend to accelerate in 2026 which should drive even greater investor interest in our critical materials strategies. We're very pleased with what we've accomplished in 2025 and remain focused on executing on our growth opportunity -- the growth opportunities ahead of us. We will continue to drive scale in our physical trust while also explore new ETF launches. At this point, we hope to announce at least 1 new ETF in the first half and a continuing expansion of our product offerings through our partners on HANetf in Europe. We expect the rotation out of AI stocks to continue and investor allocations to natural resource investments to increase. It's early, but we are already seeing a definite pickup in interest in our Managed Equities funds and Private Strategies. We're optimistic this interest will translate into meaningful sales in 2026. That concludes our remarks for today's call. And I'll now turn it over to the operator for some Q&A. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Etienne Ricard at BMO Capital Markets.
Etienne Ricard: So the improvement in margins this quarter was a highlight for me. Given your ETF platform still represents a relatively small but growing percentage of your assets, how should we think about incremental margins on your ETFs relative to the trust?
John Ciampaglia: Yes, Etienne. It's John. Yes, the beauty of the ETF platform is obviously scale is really helpful in terms of putting funds on platforms and obviously raising larger amounts of capital. The way those funds work is they have unitary fees. Unitary fees are basically fixed fees that don't change for investors. So that's one of the benefits you have total predictability. The benefit for us is that as the assets scale we're able to capture additional margin because many of our service providers and partners have pricing arrangements with us that fall with assets. And it really helps the overall block of assets. But the other thing it really helps with is incremental new funds, which are very costly to launch. They are heavily subsidized, so to speak, with kind of our collective assets. So bringing new funds to market will become less and less expensive, and we're starting to see the benefit of that. Finally, I think we have almost every single fund in the lineup now above its breakeven AUM level, which is very important. It's very common to have to subsidize a fund in its early years. until it hits those breakeven levels. And I think we've got all but one still below breakeven. So that was a really important milestone. So the fund lineup is growing very quickly, and we expect that to fall to the bottom line. And every basis point kind of counts in ETFs. So it's all working nicely together.
Kevin Hibbert: And I'll just probably add to that. That was a good summary, John. I'd also add to that, that generally speaking, Etienne, I think you made -- you're trying to make the connection between the ETFs and the physicals. The ETFs tend to have higher margin opportunities than the physicals, just given that the fixed cost structure there is a little bit lower than their physical counterparts in that segment. So everything John mentioned is correct and would actually add a little bit more torque to the bottom line to the extent it becomes an increasingly larger portion of the total AUM in that segment, if that helps.
Etienne Ricard: Interesting. And where would be the breakeven level for the ETF?
John Ciampaglia: So every ETF has a different breakeven level, but the primary driver is obviously, it's management fee. And then secondarily, you have to think a little bit about what market it's listed in, whether it's in the U.S. or Europe. Generally, our breakevens can range anywhere from about $25 million, upwards of $75 million. So that's kind of a wide range. But once you get through those breakeven AUMs, you start to actually generate net positive revenue. And that's why it's very important to get the ETFs up to breakeven to start and then scale from there.
Etienne Ricard: Very helpful. And switching gears a little bit. Given precious metals had been out of favor for quite some time, are you now seeing greater competition from other asset managers coming to market with new products that are focused on your end markets?
John Ciampaglia: Yes. Well, I think it's fair to say that the ETF market is mature in the precious metal space. There are a lot of offerings I think I would highlight that the later entrants that came into the market, say, 5, 6 years ago had to come in with a very low price point to compete and gain market share. And I'm talking about price points for, let's say, gold ETFs that are 15, 17, 18 basis points in comparison, we're at 35. So these late entrants had to heavily discount. We have never had to discount our pricing because we believe our product is a premium product given the attributes of it. We don't really see too many new competitors come in the ETF space in the precious metal segments. They're already pretty crowded. We do see new competitors coming in on the mining space, which has been less crowded. And I would say it's been a similar playbook where people tend to come in at lower price points. We also noticed that many of these entrants don't know anything about metals and mining and produce, I'd say, fairly unsophisticated offerings, which is starting to, I think, we noticed by investors because they're underperforming. So we're finding that we're in a good position to compete. And as I mentioned, even though we run a lot of passive rules-based index strategies, there are clear differences between the two. Our critical materials fund has handily outperformed all of the competitors that we track against our copper mining ETFs have outperformed between 10% and 14% the last 2 years per year. And so you say, well, if sooner or later, investors are going to notice that something is going on with the Sprott funds. Why are they performing differently. And that's just because we've taken a different approach to our index construction. And we think that's one of the reasons why we've been able to build market share in some of these categories very quickly.
W. George: I'll throw one last thing on our active ETFs, both METL and GBUG, they are the first offerings of their kind to -- as an investor, I think the mining industry really offers an opportunity to manage risk actively and there is no other organization that I know of on the planet that has as deep a bench of analysts, portfolio managers, geologists, technicians that are covering this space. So I'm very excited about those launches and the progress we're making there.
Operator: Your next question comes from the line of Matt Lee with CGS.
Matthew Lee: Maybe I want to start on -- sorry, carried interest and performance fees, nice contributor this quarter, something we didn't model in. Can you maybe talk about what drives that? And if we do expect the funds to perform well in 2026, is it assumed that we should receive a similar benefit next year? Or is it more nuanced than that?
Kevin Hibbert: Matt, can you just repeat that last part of your question?
Matthew Lee: Yes. I mean, should we be thinking about a similar kind of performance fee and carried interest revenue line in 2026? Or is it...
Kevin Hibbert: Yes. Okay. Got you. Well, it certainly is episodic and it's coming from really two areas. One is the carry, the other side is the performance. On a full year basis, I would say the large chunk of the carrying performance fee that you saw was coming from Managed Equities and specifically on the performance fee side, but there was another good chunk that was coming -- it came in at the second half of -- at the beginning of the second half of the year. from a legacy exploration LP that we had. So it's kind of difficult to look at this and try to get a sense of where things will be this year because a big chunk of it was legacy and we just harvested it. So that's not going to recur that much of that Q2 number. And then the rest of it is just largely based on how the markets are doing in the case of our active equities or when we get to a point where we're ready to harvest on our Private Strategies side. So I don't know what to tell you other than to gives you that type of background into just how episodic it can be, but I can't really give you a lot of insight from there, unfortunately.
Matthew Lee: Okay. That's fair. And then maybe one on the Private Strategies side. I know the portfolio has a lot of fixed income like investments in it. But I'm surprised to see market value there, although only increased by about $5 million, just given how good the macro has been. So can you maybe dig into that a bit and help us understand if anything can drive value up other than net inflows in private?
W. George: Okay. Those are private credit funds. And what you're seeing is a function of a strong market where the credits get paid back because the mining companies can raise capital is much cheaper than what they're paying. And so it's always a balance between deploying capital into new investments versus what you get back. As I mentioned, Lending Fund II is coming to the end of its life. So that's going to reduce AUM. But again, this is a -- it's a long cycle. They're 10-year lockup products. And so this is a transition year, I'd say, for the Private Strategies.
Kevin Hibbert: And Matt, are you also asking about the -- were you asking about the gains on investments in that segment?
Matthew Lee: Yes. I'm kind of thinking about that from the perspective of net inflows and market value chains, right? So I think you guys answered that in the net inflows question well. I just -- I'm wondering if there's any changes in the market value of those funds as well.
Kevin Hibbert: Yes. So it's exactly as Whitney said, these are loans and so we have to use amortized cost accounting. So we wouldn't be marking them. So it's really just -- any increase you see there is probably from equity kicker enhancements, for example, offset by whatever gains we would get when we pay off the loan debt -- sorry, when the funds have the loans repaid, apologies to that.
Operator: Your next question comes from the line of Mike Kozak from Cantor Fitzgerald.
Michael Kozak: Congrats on the record quarter. Two questions from me. First, just at a high level, and I think Whitney, you kind of alluded to it a little bit. But I mean gold and silver prices, they set multiple new all-time highs in the quarter. They're consolidating now, which I agree is healthy. But obviously seem likely to reset here at like a much higher base. And my question is -- my first one is against that backdrop, like how do you guys think about special dividends or maybe even some sort of like dividend linked to a basket of metal prices?
W. George: Okay. We have mixed investor opinions about special dividends. I've committed that we're not going to run a money market fund here. To the extent that we have nonrecurring sources of income, that's something we will consider. But I'd like to continue to grow the regular dividend along with our underlying growth. So dividends, buybacks, opportunistic buybacks. Obviously, our stock is very strong. And then ultimately, the special dividend if the first two don't get us where we want to be.
Michael Kozak: Okay. And then second, maybe just given the extreme volatility in silver prices, both on the upside and the downside in January and February, I'd love if you could give me some color on what the physical market was like? Like where was it tight? Where were the metal flows jurisdictionally and how are these dynamics like now post correction versus, call it, a month ago during that parabolic move to the upside?
John Ciampaglia: That's a fine question, Mike. It's John. Yes. I mean we've obviously seen a pretty extreme volatility in solar. We've never seen those kinds of moves. I think it's fair to say that the physical market was really the catalyst for the move, meaning we saw huge amounts of silver being purchased by investors in India in the fourth quarter. They continue to buy lots of silver. We've seen lots of silver buying a physical form in China in the last few months. And up until very recently, the flows into Western silver-based ETFs was quite strong. So physical buying kind of was driving the move. Obviously, in the last, I'd say, 3 weeks, that's flipped around. And the paper markets, i.e., options on ETFs and the futures markets have been pushing the price back the other way. So it has been a real tug of war between physical buyers who are thinking more long term. and have been waiting for this re-rating of silver for many, many years. And then other powers that are trying to smash the price down, we see some very abnormal selling behavior where people are dumping huge amounts of silver through paper products and derivatives and 2 minutes of trading or periods of time when markets are closed or on holiday or whatever. So there is some kind of funny business going on. But in terms of the physical our procurement, we bought a lot of silver. And we're finding there's enough silver to buy in North America. Silver is definitely more scarce in London, in India and China. China has also recently implemented export restrictions on silver, which I think is going to make the market more tight. So the physical market is definitely a little bit mismatched in terms of demand versus interest. And more recently, the large competitor, ETF -- Silver ETF that's listed in the United States has gone in, in the outflows in the last few weeks. So it's been very volatile. Silver is trying to find a footing here. But it's been very paper-driven versus physical-driven for sure, the last few weeks, but it's definitely moderating. Some regulators have stepped in to kind of rein in some of the speculative activity, namely in China, the CME has raised margin requirements on silver futures contracts multiple times, and that all seems to have some effect here.
W. George: Yes. Ultimately, we think it will settle down. Ultimately, the inflation-adjusted all-time high for silver would be somewhere between $180 and $200 an ounce. It's a small market. It's been in supply deficit for 5 years, and it's critical. So I think what we're seeing now is a great opportunity somewhere in this neighborhood for new investors to get involved.
Operator: Your next question comes from the line of Graham Ryding with TD Securities.
Graham Ryding: Maybe you can just touch on those new ETF product launches. Will those be actively managed ETFs or passive strategies around your sort of proprietary indexes or a combination of both? How should we think about those?
John Ciampaglia: Yes. The ones that are in the hopper are both proprietary passive-based indexes. One is a clone of an existing fund that we'd like to bring to Europe. The other one is a brand-new fund that I don't think we're allowed to talk about because we're in a quiet period, but it's on EDGAR. So it is in the public domain. And yes, so we're being very selective. Obviously, we've been pretty aggressive the last few years building out the suite and filling in gaps. And right now, our #1 objective is to scale what we have because that represents the best opportunity to attract assets.
Graham Ryding: Understood. And is there any commodity that you would call out right now that you sort of feel is positioned to break out? Or are you sort of equally constructive across your main commodities?
John Ciampaglia: Yes. I think our response to that has changed a lot because as I mentioned, multiple metals have all hit all-time highs all at once, which is very abnormal. We're pretty constructive on all of them. They're all taking a bit of a breather right now and consolidating the recent gains, but we think we're still in the early innings. And I think what's really highlighting the value of these metals is the fact that governments are now intervening and talking about strategic stockpiles and price floors and these kinds of mechanisms to basically reshore supply chain away from China. So it's hard to know how government policies and whatnot are going to affect commodity prices. But I think it's fair to say that most investors have little to no exposure to commodities and the commodities that we're most bullish about are in the mining -- are in the metal space as opposed to traditional energy and agriculture type commodities, which have obviously underperformed big time.
Graham Ryding: Okay. Great. Maybe just jumping to your sort of the cash on your balance sheet. It's obviously built up quarter-over-quarter, year-over-year in a fairly healthy way. You also have some compensation payable sitting on the liability side. What's the timing around that piece? Should we expect your sort of cash balance to be coming down in Q1 as you pay out some of that or most of that comp payable?
Kevin Hibbert: Well, basically, it wouldn't be the following month for the most part.
Graham Ryding: Okay. And then capital allocation, any obvious uses for net cash build? Or are you sort of happy to keep your cash -- your powder dry and your balance sheet is strong?
W. George: We're going to keep a strong balance sheet. That's one of our principles. What we're trying to do is deliver operating leverage without financial leverage to the parts of the world that we operate in. As I mentioned, we'd like to continue to grow the dividends, I'm the second largest shareholder, so I really appreciate that. And again, we will buy back stock depending and be opportunistic and depending on the value that we can get will depend on how much we can deploy there. And then we'll revisit where we are later this year.
Graham Ryding: Okay. Great. And one more, if I could be greedy, just on the Private Strategies side. You talked about looking at doing some fundraising. Would that be to replace that LF2 fund? Or are you looking to add incremental AUM to that overall part of your business?
W. George: Yes. We want to continue to cycle through our lending products, but we also have some very interesting Private Strategies that are starting to scale. One is in physical commodities that do not trade on any exchanges, run by Ryan McIntyre. We have introduced an evergreen version of our lending product, which I think is a concept that's gaining traction in the private credit world. And we continue to have people's attention now with our mining -- special metals and minings fund, given its performance, not just last year, but over 5 years. So there are lots of opportunities on the private part of our business, and we are increasingly heavily engaged with family offices and large high net worth investors. I didn't mentioned that our wealth management business more than doubled in assets last year, a lot on the back of performance. But again, we were getting calls and things like that, that we haven't seen in years and years from high net worth investors. So that part of our business, which has been sort of a rounding error, is starting to grow nicely as well.
Graham Ryding: And then my last one, just on that Lending Fund II. You talked about sort of it's in a harvesting phase. Does that sort of imply that 2026 could generate some carried interest around that fund?
W. George: We are not allowed to say anything.
Operator: Your next question comes from the line of Bart Dziarski from RBC Capital Markets.
Bart Dziarski: I wanted to ask around the net comp ratio. So it was about 45% last year, it's 40% this year, and it was lower than that in Q4. So just trying to get a sense what run rate should we assume for that ratio going forward?
Kevin Hibbert: Bart, Kevin here. we don't provide forward-looking information, obviously, the kind of standard statement. But what I can say is the key drivers for us are, one, obviously, revenue growth, obviously, as the denominator, but also just keeping in mind that there's not an awful lot of torque to the cash comp side as it relates to our net revenue growth. And you can just see that when you look at the MD&A explanations that we give around compensation pre-stock based relative to the net revenue growth. So whatever you're seeing now, if you wanted to keep that and maybe kind of flat or a bit throughout the year and then maybe only toggle it down commensurate with any future net revenues we may or may not report then you're welcome to do that. And I can't imagine you'd be massively off, if you took that approach. But I can't actually specifically give you anything to rely on.
Bart Dziarski: Okay. No, that's helpful, Kevin. And then John, in your prepared remarks, you talked about AUM and liquidity begets AUM and liquidity. And it's an interesting point that we probably underappreciate. So can you maybe elaborate a little bit on that? And then tying into that, you're saying on the back of it, you're seeing more and more institutions allocate. So just more color on what institutions, where, and the momentum you're seeing there?
John Ciampaglia: Yes, sure. Bart. So yes, I guess I would view it from two perspectives. One is from a product shelf placement perspective. So for example, some distributors won't turn your ETF tickers on until you hit a threshold of AUM, sometimes it's $25 million, sometimes it can be even as high as $100 million. So that's thing one. You need to hit those milestones for distributors to turn them on. And then secondarily, institutional investors obviously have some limitations in terms of their comfort level in terms of owning a percentage of a fund. So as these funds get bigger, they trade more and institutions feel more comfortable putting on positions of size. So it does create a bit of a flywheel effect. You also tend to see bid-ask spreads tighten, which helps the trading. And you just have to be patient because you could have a fund that's sitting there at $10 million for months and months and then all of a sudden, somebody is interested in it, and it will jump up to $100 million in no time. And we've recently seen that with our nickel miners ETF and our lithium miners ETFs as well. And I think where we see the real big flywheel effect is obviously in the multibillion dollar funds, and that's where institutions that we talk to, pension funds, family offices, hedge funds, et cetera. That's where they can get materially positioned with large positions. So those are the kind of the workhorse funds for us. The uranium trust is a good example that has the highest percentage of institutional ownership amongst the physical products. And as that fund gets bigger, you get to talk to bigger and bigger institutions that can allocate to it.
Operator: At this time, I will turn the call back to management for closing remarks.
W. George: Thank you, everyone, for participating in this call. We appreciate your interest in Sprott and look forward to speaking to you again after our first quarter results. Until then, we will remain contrarian, innovative and aligned. Have a good day.
Operator: Thank you. This does conclude today's conference call. We thank you for attending, and you may now disconnect your lines.